Operator: Good day, everyone, welcome to the Xinyuan Real Estate Company, fourth quarter 2009 earnings conference call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Helen Zhang, for opening remarks and introductions. Ms. Zhang, please go ahead.
Helen Zhang: Hello everyone, welcome to Xinyuan's fourth quarter and full year 2009 earnings conference call. The company’s fourth quarter earnings results were released earlier today and available on the company’s IR website as well as newswire services. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in our registration statement and our Form 20-F and other documents filed with the US Securities and Exchange Commission. Xinyuan does not assume any obligation to update any forward-looking statements except as required under applicable law. Today, you will hear from Mr. Yong Zhang, our Chairman and Chief Executive Officer, who will comment on current operations and provide some perspectives on the market environment. He will be followed by Mr. Tom Gurnee, our Chief Financial Officer, who will provide some additional color on our performance, review the company’s financial results and discuss our outlook for 2010. Following management’s prepared remarks, we'll open the call to questions. During the Q&A session, Mr. Zhang will speak in Mandarin. Since we are in different cities, I'll have to translate the questions and translate again back. Please note that unless otherwise stated, all figures mentioned during this conference call are in US dollars. I will now turn the call over to Xinyuan's Chairman and CEO, Mr. Yong Zhang. Please go ahead Mr. Zhang.
Yong Zhang: Hello everyone and thank you for joining us. Today is our last working date and we will have the traditional Chinese New Year holiday. So let me say, Happy Chinese New Year to you. I'm very happy to report our best quarter in history. Quarter four revenues, key average sales and the net income were all well above our expectations. Before I further discussing our performance in the past quarter, let me talk about our newly (inaudible) government authority which drove a lot of attention from both Chinese real estate developers and the investor community. In the past two months, the Chinese government has (inaudible) of policies to promote the stable and the health development of the real estate sector. The scene of the policies is to adjust the target of the market supplies, but [truthfully] speaking more development of low and the middle end properties for ordinary people. The policies are only meant to control our thinking of the real estate sector driven by speculation; the real estate's policies will not have highly an active impact. Our Chinese New Year (inaudible) particularly our sector of Tier II and Tier III cities. Instead, these actions will help the market to develop in a more healthy environment by floating on the price increase in some further Tier cities. To improve the supply of affordable housing to the Chinese people. At the same time, it is real almost beat out the movement of the people will affect Tier on the third Tier cities. We are happy to see that our business model, our fastest [affair] per hour and our (inaudible) focusing on affordable development, targeting home owners in how to adhere free cities, a aligned with this recent policies. Tier II, our performance in the fourth quarter, all of our major active projects showed good impressive on the GFA. Contract on sales for our Chengdu project grew by about 80% in the third quarter. Kunshan project grew by well 130% and Suzhou International City Garden grew that about 210%. (Inaudible) in the POC quarterly, sales growth was driven by two factors. First, the overall market conditions were very improving in the second half of the year. As we near the year end, people become concerned about possible increase of mortgage increased risk and the increase to our payment for second home buyers. Demanding a number on the December forward and legal tax rate we received a presales particularly for more building in Kunshan and the Suzhou project is met with strong market demand. We also fought for new land parcels in the quarter. As a result of our improving performance, we have generated strong cash flow (inaudible) debt and find new land parcel. Continue to build our land bank with a Chengdu project that will add to our good performance and turn and beyond. We are now confident about our further development as we continue to focus our objectives. Come to our costs. Improve our profitability and deliver quality projects with ever stronger management team as a result; we believe we'll achieve a continuous growth on near and long term. With that said, let me turn the call over to Tom Gurnee, our Chief Financial Officer, who'll go over some of the details for the quarter and our outlook for 2010. Please continue.
Tom Gurnee: Okay thank you Chairman, this is Tom Gurnee. Thank you. We were pleasantly surprised by the strength in demand in Q4. We usually experienced the seasonal down turn and I guided accordingly, but not this year. GFA sales surged from 184,000 square meters to 240,000 square meters or up 30% on the previous quarter. The stronger sales were once again Kunshan International City Garden and Chengdu Splendid. Our aggregate ASPs increased by 16% in just the fourth quarter from 5886 per square meter to 6826 per square meter. Compared to fourth quarter of 2008 our composite ASPs have increased 20%, but our largest active project, Kunshan, Chengdu and Suzhou experienced ASP increases for the year of 34%, 48% and 34% respectively. So far in the first quarter of 2010, our composite in January and February, our composite ASP's continue to increase with Kunshan's ASP being above 8000 per square meter, Suzhou in excess of RMB10000 per square meter and Chengdu holding firm at 5500 per square meter as we begin to market a new section of that development. Contract sales in the fourth quarter, totaled $240 million were up 51% over the third quarter of 2009, due to both GFA and ASP growth. Our major active projects were up markedly. As the Chairman said, Kunshan was up 130%, City Garden was up 220% albeit on a small base and Chengdu was up by 80%. Our mature projects approaching sold out status actually softened a little in the quarter with the non colorful garden, Shandong international City Garden and Suzhou colorful garden all down somewhat from Q3 to Q4, as we tried to squeeze a little higher ASP's out of a diminishing GFA base in those projects. Revenue recognized under the percentage of completion method increased 48% over Q3, which in turn has increased 40% over Q2. Under the POC method of percentage of completion, revenue for given project is calculated as cumulative contract sales, less 5.5% business tax. Project spending to date divided by estimated total projects spending and from that we subtract the cumulative revenue book in previous periods. Once again revenue grew a little bit slower than contract sales. This was primarily due to the fact that sales growth was stronger on our last mature projects, Kunshan at 39% sold and 57% complete that is 57% of the expected total construction costs have been incurred. And Chengdu at 50% sold and 67% complete and Suzhou at 30% sold and 78% complete, are our least mature projects. And that had impact on the aggregate POC. So let's take a look at the rest of the P&L for a second. Gross margin was recorded at 21.8% of revenue up from 20.4% in the second quarter. This was primarily due to the impact of higher than projected ASPs and in some cases lower than projected contracted cost. These improvements drove a change in estimates for certain of our projects, particularly Kunshan and Henan Colorful Garden. Margins going forward in 2010 should range between 20% to 21%, if there are no changes in estimates. Selling, General and Administrative expenses rose in dollar terms in the quarter by $3.6 million to $12.6 million. But as a percent of revenue it fell to from 7% to 6.6%. Advertising and promotional expenses rose $1.4 million, from $2.6 million in Q3 to $4 million in the fourth quarter, as promotion spending and commission payments were largely, purely variable. Remember, we did have 50% growth in contract sales. In addition, we incurred sale agent commissions in Chengdu for the fourth quarter; since we'd already reduced headcount well prior to the change over it appears as an increase in the past two quarters, but that should not be a trend going forward. SG&A compensation cost edged up $700,000 on bonuses to operating company personnel who exceeded stretched target in an exceptional year and the quarter. We also recognized over $600,000 of one-time legal and accounting fees incurred in 2009 in preparation for a possible secondary offering which we have since abandoned. Total company headcount increased by 38 in the quarter to 422 people as we begin preparations to execute development of new land parcels. We also established one new geographical location that being Xuzhou in Jiangsu province also to develop the newly acquired land parcel. After a reference our headcount at the end of last year was 645 people now its 422. We expect SG&A to drop significantly in the first quarter in dollar terms but to increase slightly as a percent of revenue due to a seasonal softening of sales. And I will get to the outlook in a few minutes. Our 45% owned joint venture Jiantou Xinyuan real estate contributed book profits to Xinyuan of $2 million in Q4 versus the loss of $1.1 million in the third quarter. In our previous earnings release, we had reported a profit of $2.3 million in that quarter so we had a swing of $3.4 million. Let me explain what happened here. Back in 2007 Xinyuan and subsequently Jiantou Xinyuan each contracted to acquire one parcel of land each in Zhengzhou for separate developments. Xinyuan fully paid for its slightly larger parcel soon after auction, but soon learned that the land deal was to change the development guidelines such that the project became in our eyes not viable. We regret to refund the land premium and while awaiting this refund withheld payment on the Jiantou Xinyuan parcel until such time as we received the refunds on the Xinyuan parcel. During 2008, we did receive a partial refund and then paid down the Jiantou land premium balance such as the amount owed to the government for the Jiantou parcel was equal to the refund owed to us by the government. During 2008 we were noted by of a potential fine for late payment of the Jiantou land premium, I’m sorry, during 2009 we will report. As we continue to negotiate offsets with the government. After receiving increase of these straight and penalty notifications the company in Jiantou decided to pay the Jiantou parcel inflows as a demonstration of good faith and to stop the penalty climb At that time and today, the total penalty stood at Rmb52 million or $7.6 million or calculated at 0.1% per day our 45% portion of that is $3.4 million. We continue to negotiate with the government on offsets particularly on the alcohol project and have made substantial progress. Our has been made clear in Q4 that the penalty itself must be sold separately before any finalization of offsets. Therefore, we have made the decision to recognize the penalty in the financial statements of Jiantou and Xinyuan in the third quarter of 2009. We cannot be certain of successful negotiations for offset, so we will not recognize them in our financial statements until we receive official notifications where the offsets are approved. Meanwhile, the acquisition process of the 45% of Jiantou Xinyuan we don’t own is our delay SASAC, the state administration of asset sales is studying the accounts, the audited accounts and appraisals and will rule sooner whether the deal may go ahead, that decision will be followed by a 21-day auction process before we are in position to finalize any deal. The impact of the penalty discussed above was contemplated in the purchase price negotiated with (sale). I was talking about warrant liabilities are almost nothing now, the balance is virtually nil, in fact there is $254. With the floating rates notes due for redemption in April and with a strike price of $5.60 it is highly unlikely we will see much movement in this side up in the future. Income taxes in the fourth quarter were 20.7%; this is well below our previous quarters this year and results from a few factors. Number one, we split Suzhou International City Garden where we do expect the composite loss and we do take an impairment loss last year. We split it in to phases such that the first phase could be completed in December 2009 and the FAS loss is used to offset completion profits from Lake Splendid and Colorful Garden projects in the tax year 2009. So that was one factor that was positive. Second factor was an improved profit outlook for Suzhou International City Garden leading to a reduction in the deferred tax valuation allowance, and the recurring of certain legal and promotional expenses direct by subsidiaries where they belong and not where they are more tax efficient. So, between those three factors, we did see a drop in the tax rate in fourth quarter. Net income in the fourth quarter drove $25.4 million versus $12 million in Q3. Okay, balance sheet let me talk about the full year versus obviously there is much more dramatic comparisons to 2008 had and one must remember incurred an impairment charge of $75 million in the fourth quarter of 2008. So revenue expense now let me talk about the balance sheet. Cash on hand dropped a $106 million from $304.5 million to $188 million, but debt outstanding dropped by $81 million as we made pay downs on certain debts. And this so net, net we had about $25 million down between cash and debt. This despite the fact we made over $190 million of land premium payments in the quarter of the new land acquisition. Operating cash flow exceeded a $170 million versus $93 million in Q3 and $39 million in Q2. Real estate property under development rose $64.8 million to $560.6 million. As land premium payments and slightly increased construction spending were partially offset by heavy relief to cost of sales under the percentage of completion method of accounting. The floating rate notes totaling $75 million are due in April 2010. The company plans to repay those notes at maturity from operating funds. We do have the state administration for foreign exchange as safe, approval to limit the foreign exchange required. We may consider a rollover by one or more of our note holders to help finance future land purchases but it is not a prerequisite to settling all notes in full when due. Land acquisitions, we put it in our press release for the table of land acquisitions. We acquired former prices of land at a total contract price of $320 million. In the last four months, it was actually five parcels totaling $340 million. Of this $340 million from those five parcels, $180.7 million has been paid in 2009. We made a payment of $17.2 million in January and the remaining $133.1 million is due for payment in late May 2010. All knew the acquired projects met or exceeded our benchmark 20% margin minimum. As of December 31, our land bank totaled 2,051,000 square meters. In addition, Zhengzhou has a land bank of 252,600 square meters. So now I'd like to talk just for a minute about outlook. Just look at the first quarter. In the first quarter we expect to finish our seasonal drop in sales activity as we do every year. The GFA is predicted to come in at 110,000 to 120,000 meters versus 240,000 meters in Q4. Contract sales are expected to hit $120 million to $130 million while revenue under the percentage of completion method is paid for about $95 million to $105 million. Net income should hover around $8 million to $10 million. ASPs are not under pressure this moment and it continued to edge up so far in January and February to deposit ASP comfortably about 7000 per square meter, Rmb7000. So for the full year 2010 I am finding it very difficult to accurately call 2010 right now although I am sure it's going to go up until construction schedules are set for new land acquisitions it will be hard to predict. However, we do expect contract sales to grow at least 40% in 2010 but without any substantial price increases. Between currently active projects as well as the oncoming Chengdu Xinyuan Splendid II and alcohol project is coming online with presales in Q2, we are confident of substantial sales growth in 2010 regardless of the exact timing of sales on new projects. Our target right now is to have all 5, 2009 land acquisitions increase sales mode by the end of the third quarter 2010. If these construction schedules hold, sales growth could exceed a 100%. Thank you very much for listening to this presentation I will turn it back over to the moderator.
Operator: Thank you, (Operator Instructions). We will her first from Kun Tao with Roth Capital Partners please go ahead.
Kun Tao - Roth Capital Partners: Hey good morning everyone congratulations on a good quarter. My first question is for total sales estimate and cost adjustments you made for Henan Colorful Garden and Kunshan Project. How much of that actually contribute to the revenue in the last quarter?
Tom Gurnee: I could tell you the net impact of change in estimates on the quarter's gross profit was $8.8 million the previous quarter of similar change in estimate was 6.6 so the difference between the two quarters was like 2.2.
Kun Tao - Roth Capital Partners: So I can use your average growth margin to estimated the revenue contribution?
Tom Gurnee: Actually during my speech just now I guided between 20 and 21 because a little bit of that 21.6 was catch up due to change in estimate so I would use Kun, I would use 20.5 lets say if you are going to project forward.
Kun Tao - Roth Capital Partners: Turn your half for last quarter as revenue contribution due to the adjustment, is that correct?
Tom Gurnee: 20.5 would have been the normalized margin last quarter if that’s what what you mean, yes.
Kun Tao - Roth Capital Partners: How much of all your four newly acquired lands paid off or how much of that is your?
Tom Gurnee: There are 5 of them, there were 4 in the quarter and one in September so there is five. We paid a 190.7 of the 340; we paid a 190.7 in 2009. We paid another 17 million in January and the remaining 133 is due May 27. Part of it is due May 27, a part of it little bit later.
Kun Tao - Roth Capital Partners: You expect approval of Jiantou Xinyuan in first Q of 2010, how much of the revenue is included in your guidance?
Tom Gurnee: None.
Kun Tao - Roth Capital Partners: None.
Tom Gurnee: Yes.
Kun Tao - Roth Capital Partners: So for us to calculate how much of revenue you think will contribute in 2010 total within your 40% expectation of revenue increase?
Tom Gurnee: Within the 40%, no it's outside the 40%. The 40% is apples-to-apples. I cannot assume [emergence] is going to happen, but we think we have 95% chances of that, but we do not have it in our numbers, but the 40% of apples-apples without Jiantou to without Jiantou.
Kun Tao - Roth Capital Partners: Okay, so the revenue, you expect 40% increase in revenue in Jiantou that is regarding to (inaudible).
Tom Gurnee: Listen carefully; I expect more than 40%. I expect I think I remarked here at the end of my speech that if we execute him all of the new projects come on board at the appropriate time at the scheduled targeted time, which usually we are pretty aggressive, our growth could be over a 100, but I'm gaining greater than 40 as a virtually very low risk number.
Kun Tao - Roth Capital Partners: Okay. So in terms of using your percentage of completion method, for instance you got a Q4, which was much lower than you reported, so but what's the visibility on your revenue recognition based on the construction schedule? I would think this should be very high visibility because you have lot of backlog of contract sales you need to recognize based on the construction progress?
Tom Gurnee: The permits, you have to get a design done and you have to get that approved by the government, and sometimes it doesn’t work. In couple of cases, I think there might be some relocation of some installation on there. They might have to do some small demolition, one of the projects there is military installation on and we had to use the different entity there is various factors that could come into play that has something to do with the construction schedule so we said it very aggressive, but we don’t fully control until we have a permit, and so that's the timing risk is getting the permit and...
Kun Tao - Roth Capital Partners: But that’s for the new project right and that’s for existing project?
Tom Gurnee: Okay, for existing projects, we have no constraints whatsoever, we are doing great because we do split them into sub parts and we do have to get permits for each sub part, so we did get some permitting in the fourth quarter though I was to push Kunshan harder and Suzhou but the two projects that are coming in line that have zero revenue now that do not need, we already have permit approvals and we are moving on is Chengdu Chengdu Xinyuan Splendid II and the alcohol project which we, I think we are calling it some modern city will be the official naming Zhengzhou those two projects are coming inline Chengdu we expect March or April pre-sales and in Zhengzhou at the modern city we expect about April and May first pre-sales. So those will start kicking in Q2, early Q2.
Kun Tao - Roth Capital Partners: Okay, my last question is probably first of all Mr. Zhang China issued number of policies starting 2010 try to (inaudible) down the real estate market, but mainly for second hand buying, second hand housing buying and what do you expect just the policies actually similar to what they issued in September of 2007 and the market was largely impacted late 2008, so what do you think of this policies where impact Xinyuan (inaudible) lets say the second half of 2010 in terms of transactions and sales price.
Tom Gurnee: Let's give this one to the Chairman, shall we?
Kun Tao - Roth Capital Partners: Yeah you want me to say that in Chinese? I can do that.
Tom Gurnee: Yeah, why don’t you do that?
Kun Tao - Roth Capital Partners: Okay. [Foreign Language].
Helen Zhang: Thanks. We believe that the policy between 2007 and 2010 has a kind of similarity; however we believe the market in the second half of 2008 got mainly hit by the financial crisis, and for the (inaudible) 2010 we don’t believe that in market we'll have a kind of a radical change. For us in the second tier cities we believe that ASPs will grow between 5% to 10% and in term of the volumes the second tier cities that were active, since the volumes would only seize from a year-in cost. So we believe that the year 2010 the sales volume in second tier cities will decrease drastically.
Operator: (Operator Instructions). We will hear next from Hong Hao with Brean Murray. Please go ahead.
Hong Hao - Brean Murray: I have a couple of questions; the first one is regarding your guidance for the first quarter 2010. You mentioned that ASP maintained is that as a flat Q-over-Q is on like firm level or it's under the level.
Tom Gurnee: Actually I think what I should do is send you a copy of the script from tonight which I will do, but the ASPs right now in January and February are actually firm or higher than they were in December and in the quarter. So you would expect to see our ASPs well over Rmb7000, probably about 7300 to 7400 something like that.
Hong Hao - Brean Murray: So this is the average for every project on the firm levels ASP right?
Tom Gurnee: Correct and I said also in my remarks, but I was remarking on each project where like Kunshan is over Rmb8000 now running so far in this quarter, just a second please. Kunshan, our three major projects, active projects are Kunshan which is running 8000 per square meter, a little over 8000 per square meter. Suzhou is running in excess of 10,000 per square meter up to 11 and Chengdu is holding at about 5500 because we're marketing a new phase of the project. So all of those are higher than what you'll see in the table on our press release for Q4, but we haven’t raised above beyond that. Some of these price increases have taken a little while to get through the system and into our contract sales. So you just take those three, I’ll give you the comparison, for example Kunshan in the table in the press release for Q4 shows 7,024 well we are a thousand higher than that now, in the first quarter. And although we didn’t raise prices in the last month or so, but they are higher because the prevailing prices in December were so high. Suzhou International City Garden shows 9,397 in the table, they are about 10,500 right now and then Chengdu shows 5,482, okay it’s a little over 5,500. So they are all up over what I have in that table which is looking backwards.
Hong Hao - Brean Murray: Okay.
Tom Gurnee: So, you will see ASPs move up.
Hong Hao - Brean Murray: Okay, all right. Its just kind limitation that maybe I heard you're wrong, you mentioned about that you confident in 2010, it's going to be a sustainable growth, but with a much of ASP increase, is that?
Tom Gurnee: Yes, I think the Chairman just said 5% to 10% in his mind, and that’s from where we are now and where we are now is higher than we were in Q4 as an average. So it’s a very healthy environment but I’m not projecting ASP growth like we have last year. We had 20% or 34% on Kunshan and (inaudible). So I think the Chairman said it, 5% to 10% maybe over the year.
Hong Hao - Brean Murray: But you also mentioned about kind of anticipate that GSA growth is pretty much flat, so if by the GSA sales is going to be flat and ASP is on the up 5% to 10% can we assume that 2010 growth is only between 5% and 10%.
Tom Gurnee: No, we got this all wrong then; I gave you the impression no not at all. Okay, the first quarter is always a seasonal down even then its three times what it was last first quarter. Right, last year. And so in fact the chairman has said many times that if you had to calendarise a normal seasonal comparison if Q3 is a 100, Q1 will be 60, Q2 is 80 and Q4 is 80. That’s the usual ratio and that’s what surprises so much in the fourth quarter this year, demand defeated the model, the seasonal trend model. No, we expect at least 40% growth here in the year. We don’t expect another month or a couple of months like we did in the fourth quarter but we expect substantial growth and if we hit our development targets our construction targets we could exceed a 100% contract sales growth in the year.
Hong Hao - Brean Murray: Okay. Got it.
Tom Gurnee: And reticent until we firm up and we will soon, we will in the first quarter, until we firm up those construction schedules you know to guide a 110% might be difficult for me but I can guarantee you no matter what happens even if we don’t go anywhere with the five new land parcels we purchased we'll do 40% plus.
Hong Hao - Brean Murray: Okay, without the new full land parcels, new projects coming online. You will still make more than just with the existing and active projects, you said this morning?
Tom Gurnee: No, we will take the active plus the twos that are not reasonably purchased you got Chengdu Xinyuan Splendid II and you got the alcohol project those are both currently owned before this acquisition exercise we want on and both of those are under construction right now. They don’t have presales permits yet though they will have pre-sale permits in March and April. So those will be added to the mix. So it's not just active projects. Its active plus 200 construction but not presale active yet until March or April. And then you've got five more projects that we purchased. I would say of those I am very confident, well I am very confident all of them will be underway by the fourth quarter this year. They're all scheduled or targeted for the third quarter. The one that’s earliest in it is Xuzhou which is I think a July timeframe is when its scheduled to be constructed. I think we're pretty confident on that one. So it's well above 40%. It's very difficult to be precise on a total year guidance right now but its and then we have of course the discussion of the market. So we don’t know what signals that is. But it’s a very, very healthy year, stacking up to be a very good year because we've got all the tools we need, all the right pieces of land to generate substantial sales growth.
Hong Hao - Brean Murray: Okay, so that brings to my next question that in anticipating the tightening credit environment do you expect that you would need to make any further change to your project assumptions or like do you expect any construction starts to delay what kind of action that you think that you need to do to kind of fend off that, the credit environment is getting tougher for the individuals who get mortgage or you don’t think that is going to have much of a impact on your, like most of your clients are first hand, like a first time [combined] in the tier two cities.
Tom Gurnee: So I guess to rephrase your question, you're worrying about what happens if the market gets soft on us basically?
Hong Hao - Brean Murray: Right, and do you see an impact on your target clients purchasing power and you know do you do expect that they are some projects expect to come down light in second quarter and third quarter this year do you expect any delay in the construction start or kind of slow down any projects construction pace.
Tom Gurnee: Why don’t we let the Chairman answer this? Let me put this one to the Chairman. Okay. [Foreign Language].
Yong Zhang: [Foreign Language]. We don’t believe that from the second half of the year market growth that was. For China we believe that GDP growth in year 2010 will maintain an 8% and real estate market will continue to maintain its development. This situation is not as bad and selected by some new [neutral] media. Just incase that overall market condition changed and that wasn’t because of our (inaudible) the turnover business model we believe that and we have enough capital to support our construction development. Overall, we believe that we have enough inventories to support in market and in term of the contract bills we believe that we will at least have about 50% growth rate for year 2010.
Hong Hao - Brean Murray: My last question is have you experienced any increasing difficulty in getting a construction allowance at this point. And I am aware there might be some delay in your Jinan project and that for that particular project, the loan hasn’t been secured maybe still wanted to do that but just one really is there any particular reason that might cause the delay and when do you expect to secure the loan for that particular project?
Tom Gurnee: Well, we don't, we can't secure the loan until we get permits. So, we have to get to that stage first, and we have to end up with the final contract of sale which is expected to be seen. I guess, we've signed something last week, but the final payments in May; they have to do some work on that site in between now and then. So we can't get construction loans. We are working on other avenues to free up cash to make more land acquisitions if we can. But my point is that we feel that we'll have ample construction lending available when (inaudible) we've had [lakhs], we've been approached by many banks, trust companies etcetera who want to participate in that Shandong project as lenders or partners of some type. So we do not have any fear whatsoever. Now you ask about have we seen any impact on borrowing so far. In January I think the banks will stop for couple of weeks to take a breath, but we haven’t seen anything we've got 500 million of financing for Chengdu that we got recently for the next phase of the project. We have not failed to secure any loans that we've projected particularly collateralized loans, construction loans. Those are still flowing freely right now.
Hong Hao - Brean Murray: So all your projects other than the Jinan one, so all secured, is that the case?
Tom Gurnee: I don't know why you say other than the Jinan one. All the projects, none of the projects is secured and then all secured it depends on how you define it. We do not have like the alcohol project; we secured all the financing for that recently. And that project is under construction now. The Chengdu project I told you, we just got all the money from (inaudible) Bank of China for the second phase, all that's in place now. So the two projects that are targeting pre-sales in the second quarter, early in the second quarter both have financing in place no problem. Then you get to the next projects if lets just say that say Jinan will get permits and be construction ready lets say October for example or September its at that time that we will be securing the lending not now. And the interest is such that we do not have fear of getting that project approved. But you have to have permits before anybody is going to give you loan or any money.
Hong Hao - Brean Murray: Of course so when do you expect that project will start since it looks likes your largest projects that's going to coming online in terms of GFA?
Tom Gurnee: Sure, let me give you some dates that we have, as far as Xinyuan Splendid that’s April, the alcohol project where we called it modern city now is May. We have two parcels in Zhengzhou that are adjacent to each other we brought within a weak of each other July to September one is July one is September, Jinan is August we are targeting, Suzhou is July that’s and the late last land acquisition made in Zhengzhou (inaudible) is October, those are the dates I just read to you are the dates for first pre-sales. In other words we start when they start producing some revenue.
Operator: (Operator Instructions). And seeing no further questions in our queue, I will turn the call back over to management for any closing or additional remarks.
Helen Zhang: Thank you very much for joining us today; this is our last working day. So we are going to have a Chinese holiday, the Chinese traditional New Year holiday. So let me say Happy New Year and thank you very much for your support for Xinyuan and we hope that we are going to deliver good results this year. Thank you. Bye.
Operator: That does conclude today's conference. Thank you all once again for your participation.